Operator: Good morning. My name is Melissa and I will be your conference operator today. At this time I would like to welcome everyone to the KEMET third-quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. (Operator instructions) Thank you. I would now like to turn the call over to Mr. Dean Dimke. Please begin.
Dean Dimke: Thank you, Melissa. This is Dean Dimke, Director of Corporate and Investor Communications. Good morning and welcome to KEMET's conference call to discuss our third-quarter financial results ending December 31 for fiscal year 2010. On the call with me today is Per Loof, our Chief Executive Officer and Bill Lowe, our Executive Vice President and CFO. As a reminder to you a presentation is available on our website that should help you along with the financial portion of our presentation this morning. Please go to KEMET.com and click on the investor relations tab in the top right portion of our front page. Once there please click on the FY '10 Q3 earnings webcast slides and you will find that right below the 2010 third-quarter earnings conference call link. That will bring up a few slides that we will call to your attention when we are covering those topics. Before we begin, I would like to advise you that all statements that address expectations or projections about the future are forward-looking statements. Some of these statements include words such as expect, anticipate, plans, intends, projects and indicates. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks, uncertainties and assumptions. Please refer to our 10-K and 10-Qs for additional information on the risks and uncertainties. Now I would like to turn the call over to Per.
Per Loof: Thank you, Dean and good morning everyone. We are coming to you today from our Monterrey, Mexico facility which is the home of our ceramics business which incidentally had a pretty good quarter. Anyway, we should get started here. Our third quarter of our fiscal year 2010 ending on December 31, 2009, continued to build on the positive results on the previous two quarters of this current fiscal year. I am happy to report that KEMET has returned to profitability this quarter on a non-GAAP basis and we have posted an operating income of $8.4 million and a $4 million net income compared to an operating loss of $2 million and a net loss of $4.9 million a year ago. This quarter on a non-GAAP basis we achieved positive earnings per share of $0.05, compared to a non-GAAP loss of $0.07 for the previous quarter. Returning to profitability has been our primary goal and I congratulate our team on our success. Our new goal is remaining profitable and continuing to build on each quarter's success. Three primary factors drove these results. First, increased sales, second, we have taken costs out and lowered our breakeven point and third, we have improved our gross margins. Sales did climb to $200 million this quarter, which is a 15.3% increase over the previous quarter. Revenue has now grown for three straight quarters. The improvement in our fiscal performance, financial performance has been aided by the improving economic conditions clearly, but that's the only part of our turnaround story. That said. The second and third points, cost reductions and improved gross margins are of course significant factors in our improved financial performance. As, I discussed in great detail on our last earnings call, our breakeven point over the last year or so have been lowered by a bit more than $60 million per quarter. The last time we made a positive non-GAAP operating income was in the quarter ending June 2008 when we made $1.9 million in operating income on $241 million of revenue. This is significant. Much work has gone into reaching this point from cost reductions to a full court press on leaning out waste in operations as well as in shifts in our strategic direction. The majority of these costs will not return as we continue to ramp our capacity to meet increasing market demand. Much of this reduced cost represents real change within our operations, therefore allowing us to return to an operating profit at much lower sales revenues than one year ago. The third point I made is in regards to improving gross margins which continue to show significant improvement. This quarter we have posted a gross margin as a percent of sales of 18.2% compared to 14.4% the previous quarter. This is the strongest showing we have had in terms of gross margin for the last eight quarters. Certainly taking cost out and thus lowering our breakeven point has played a role in improving margins but that's not the entire story. These improvements go directly to our strategies concerning product mix and growing market share in specialty and emerging markets. Approximately, 18 months ago we announced a shift in our strategic direction to move resources away from more commoditized product, placing a greater focus on growing market share in the higher-margin specialized product. Nowhere is this success better illustrated than in our ceramic business group, where this quarter they achieved a gross margin of 31%. As discussed in previous quarterly calls, one of the markets that we believe holds great potential for growth is the area of alternative energy. In early August, we learned that KEMET had been selected as one of 30 companies to receive a grant from the United States Government, Department of Energy to fund a project that will enable our company to produce film and electrolytic capacitors in the United States in support of alternative energy applications in emerging green technologies such as hybrid electric run vehicles. KEMET is receiving a grant for $15.1 million. And this past quarter we have made good progress moving through the contract phase of this grant process and we believe that during this current quarter we will finalize the contract allowing us to start the planned installation process. We continue to execute our working capital goals generating significant cash flow from operations this quarter. We ended the quarter with $69 million in total cash, up from $59 million from the close of the previous quarter. Having available cash on hand of course, will allow us to purchase the raw materials necessary to maintain our growth trend and subsequently maximize market share as the global economy continues to ramp upward. Additionally the cash will provide us the much-needed resources to continue the restructuring of our film and electrolytic business group. Speaking of increased demand, this quarter saw us bring back over 500 manufacturing jobs globally and we will continue to ramp up to meet demand. We anticipate continuing to build capacity at levels required to meet market demands. We will not get out ahead of the market and demand but are focused on meeting our customer's needs. We believe we can do this with only slight investment in additional capital. We closed the third fiscal quarter with strong bookings and an overall book-to-bill of 133. Our backlog continues to build while overall supply chain inventories remain in check. With a continued string of strong bookings over the past two quarters, we have experienced a significant rebound in revenues beyond that seen in the industry overall. Therefore, while we do expect the upward trend in revenue to continue this next quarter. We will most likely see a lower growth rate perhaps somewhere in the low single digits. With that I will now turn it over to Bill to review in detail our third-quarter financials, Bill.
Bill Lowe: Thanks, Per and good morning. I will begin our review on slide number three, income statement highlights. Sales increased to $199.9 million from $173.3 million for an increase of 15.3% in revenue over the September quarter. Gross margin percent increased to 18.2% from 14.4% versus the prior quarter. As Per will discuss later, revenue was up across all sectors again this quarter and our orders remain strong. On slide four we have provided the reconciliation of our operating income on a non-GAAP basis which for this quarter is $8.4 million. We now turn to slide five. During our last earnings call, we intimated that we were pleased that we met our breakeven operating income target at $173 million last quarter. We continue to take advantage of and leverage our cost structure as we reported a non-GAAP net income of $4 million or $0.05 per share, versus a loss of $5.8 million in the prior quarter for a loss of $0.07 a share. On a GAAP basis we reported a net loss of $1.8 million or $0.02 per share, which is primarily driven by the loan discount amortization and restructuring charges that totals approximately $5 million combined. A total list of the differences are detailed on this slide. Turning now to slide six, EBITDA for the quarter was $22.2 million. We have discussed with you in the past that we have reduced those overhead expenses significantly on an annual basis and as Per described to you, the relative change in breakeven points has been in the $60 million range. It continues to be clear that the company is not adding back these expenses and nor do we intend to do so, allowing us to leverage our lower cost base to be profitable on a lower base of revenue. Comparing our results to a year-ago December 2008, our EBITDA grew approximately 140% from $9.2 million to $22.2 million with only an additional 5% of revenue or approximately $9 million. A reconciliation of our EBITDA to net income can be found on slide seven. Turning to the balance sheet now on slide eight, our unrestricted cash increased to $65 million, up $7.6 million from $57.4 million. Cash generated from operations on the cash flow statement was $15.1 million for the quarter and $35.9 million for the fiscal year to date. Total cash which includes restricted cash was $69 million at the balance sheet date. Restricted cash did increase slightly approximately $1.5 million, resulting from incentive payments received late in December from the Mexican Government that we have utilized now and are unrestricted during the current quarter we are now in at end of March of 2010. Net working capital increased slightly from the last quarter and using the current quarter revenue annualized as a calculation measure, our receivable DSO decreased four days from 67 to 63 and are payable days increased from 35 to 38 days, as we continue to work with our suppliers on longer terms. $10 million of debt moved from long-term debt into short-term debt as a result of principal amortization that now falls within the next 12 month period. During the quarter we paid $3 million on loan principal payments and that of course was our utilization of cash. Capital expenditures were $3.9 million for the quarter. We expect that fourth-quarter capital expenditures will be in the same range of approximately $4 million. We are in full compliance with all of our covenants of EBITDA, fixed charge ratio and CapEx as required under both of our Platinum Equity and our UniCredit bank agreements. Now I will turn the call back over to Per.
Per Loof: Thank you, Bill. I will start with the film and electrolytic business group. We have seen continued demand increase for that business across the globe. Third-quarter revenue was up from the previous quarter and the book-to-bill was greater than 1.3 and as of yesterday the book-to-bill was operating for this business at 1.5. Revenue increased $10 million or 20%, from the previous quarter to $60 million which is 30% of our total revenue. We are fully loading our low-cost Asian manufacturing locations and continuing to utilize where possible, temporary headcount reductions in Europe to flex our costs in line with the demand. The customized design in activity is continuing to build at a pace of 30% greater than last year as we are seeing the alternative energy applications driving this particular increase. We have begun the planned additional restructuring of this business group with the reorganization announced in September. We have discussions under way with our unions on optimizing the mix of products manufactured in each location. Moving to manufacturing of standard products to lower cost locations is an imperative and we are on this task. Additional steps to reduce our overall fixed costs are also underway. In our ceramic business, Q3 revenue improved by 11.8% over Q2 to $45.8 million. Gross margin also improved from 26% in Q2 to 31% in Q3 and this is the result of continued focus on product mix optimization and manufacturing cost initiatives. Operating income increased by 70% in Q3 to $7.6 million. Inventory turns improved to 4.5 as a result of continued efforts to maximize working capital. The book-to-bill for Q3 was 1.2 as bookings remained strong across all regions and segments. Capacity utilization increased to 62% in Q3 and expected to continue to ramp in Q4 to support market demand. Turning to our tantalum business, we saw an improvement in revenues over Q2 fiscal '10 by $12 million coming from each of the three regions and several sectors, notably strength in automotive, industrial and computers. Sales revenues were $94 million, up about 14.5% for the second quarter. Inventories in our distributor channels continued to be flat to down in all regions. Book-to-bill remained strong throughout the quarter ending at 131. Capacity utilization is reaching over 90% in total, polymer and MnO2 demand continue to be very strong and we are still running 24/7 in our Chinese and Mexican facilities. Let's now look at the business from a regional basis, starting with Asia. Asia order and shipment rates are both trending positive. Quarter ended with a 1.33 book-to-bill and with a Q4 book-to-bill running at 1.6 at this time. Lead times are extended for many of the products which is one of the drivers for the increased book-to-bill ratios of course. Inventory in the distribution channels running on the low side. Current demand is being driven by China, 3G telecom implementation, wire card and mobile phones, green energy projects such as LED lighting, wind power, hybrid cars, et cetera and of course the Taiwanese notebook, the netbook bill clients. KEMET's market share continues to grow for tantalum, MnO2, polymer and screw-type electrolytic capacitors. Q4 project in projection in China is expected to mirror Q3 independent of the upcoming Chinese New Year in February. As Europe returned from the summer holidays, the markets started to show signs of recovery. KEMET's Q3 revenue grew overall by around 23% compared to the previous quarter. As the quarter developed the market improvement became evident in the mass markets served by our distributors with POS improving significantly compared to the previous quarter. Q3 book-to-bill closed out at 1.33. The outlook for Q4 remains optimistic based on our expectation of continued improvement in the overall European economy. Current book-to-bill is 1.36 with early indications suggesting that distribution will exceed Q3 POS levels. The Americas market continued to recover in Q3 fueled by increasing end demand across all segments as well as continued inventory replenishment throughout the supply chain. Inventory levels remain low throughout the supply chain, however. Our Q3 sales increased 14.3% over Q2 and our backlog grew throughout the quarter. We ended the quarter with a book-to-bill of 1.24. Currently our book-to-bill is 1.25. Customers are becoming increasingly concerned about assurance of supply as extended lead times are leading to many shortages. The strong demand has resulted in stable to increasing average selling prices. We are optimistic that the recovery will continue. Reviewing the activity in the various market segments, we saw revenues increase across every segment in this past quarter. Telecom came in at 21% of revenues, revenue well ahead of last quarter in part because of continued strength in Asia and in particular in China. The computer segment maintained a 16% revenue share supported by strong seasonal builds. Consumer segments remained at 10%, also supported by seasonal builds. Military and medical maintained 11% with stability in both of these segments. Transportation continued strong at 17% on the heels of European and U.S. automotive incentives and the industrial and lighting segment increased 27% of our total revenues. And with excellent rebound in revenue based and strength in the Americas and the rebounding European economy. In conclusion, our initiatives over these past 18 months to reduce costs, strengthen our balance sheet and implement new business strategies are bearing fruit for our company. A lot of work still remains and we are continuing with our work at an all-out pace. KEMET is once again a profitable company and we intend to keep it that way. As always, I want to thank all of our employees for their hard work during this trying period. Through all of these difficulties I have been and remain deeply heartened by the very strong support of our customer constituencies. In the end, as we all know nothing much happens without an order. And that concludes our prepared comments. We will now be happy to respond to any of your questions.
Operator: (Operator instructions). Your first question comes from Omar Seumalott, an independent analyst.
Omar Seumalott: Hi, guys.
Bill Lowe: Good morning, Omar.
Omar Seumalott: Good morning. The smile on my face is so big it goes from ear to air. I can hardly contain it. Congratulations, guys. It's great. Okay. Few housekeeping questions first, the cash restructuring charge for Q3, Bill?
Bill Lowe: Right just under $1 million, about $900,000.
Omar Seumalott: Okay. And do you have an expectation for Q4?
Bill Lowe: It's probably going to be in the same from a cash perspective in the same range I would suspect.
Omar Seumalott: Okay.
Per Loof: We are in the process of planning, we have, there is a number of activities that are being planned and being but the execution from a cash perspective will probably be in the same level as Q3 I would think.
Omar Seumalott: Okay. How is the, well, let me go, the 18.2% of gross margin this quarter was just amazing. I was not expecting that at all. What do you see for next quarter on that area?
Per Loof: We are trying to think that Q4 will, grow to a large extent, mirror Q3. We do expect some pullback on the revenue side in Asia due to the Chinese New Year, which basically takes a week out of everything. Of course China today is our largest country from a country perspective, so clearly you take a week out of that and that has some impact. So I think the other markets, I think Europe will strengthen somewhat and the Americas will probably sort of same level as we come off the Christmas builds here. So I would expect that Q4 will be in the same range as Q3.
Omar Seumalott: In terms of gross margin and low single-digit growth on the revenues line, is that, what I am hearing?
Per Loof: Yes, something like that, something like that.
Omar Seumalott: Okay. Perfect. Is the SG&A line expected to maintain at 21.5 million level?
Bill Lowe: Omar, I think as we mentioned in the last quarter, I think it will be that level or just slightly above that 20 to 22, 22.5 as we go through some of our year-end accruals, including the incentive accruals that would require as we improved our results. I think somewhere in that 22.5 range would be more of a number.
Per Loof: I think also, Omar, you should realize some of that is sales related, so as sales improve.
Bill Lowe: Our sales commissions go up.
Per Loof: Yes. So that sort of hits the SG&A line.
Omar Seumalott: Sure, sure. Could you comment on how is the F&E business restructuring going? How is it moving along? How far do you think you will be by the end of next quarter if you were to say on a percentage basis this percentage has been done?
Per Loof: There is a rather significant program that is underway that is going to take another 12 to 18 months to complete. So as we make facilities available both in Mexico and in China to receive the equipment, it's going to take a while to do this as it did in the other businesses. We went to, over many years programming both tantalum and ceramics to allow them to put their footprint in the right places. It takes a little while because we have actually, we need to move the machinery but we also need to make parts in the meantime.
Omar Seumalott: So I mean, would it be fair to assume. I know that you gave an 18 to 24 months window to get this done, but we have already seen such huge increases in gross margin. So would you say that you will be 10% into it by next quarter?
Per Loof: It is not coming from F&E. We see small improvements in F&E but we are seeing the improvements from the already restructured businesses.
Omar Seumalott: Okay. So that leads me to my next question, the gross margin for F&E last quarter was negative 4%. Can you tell us what was it this quarter and what you expect?
Per Loof: It was still negative but it was a little better. It was like negative 1.8% if I recall.
Omar Seumalott: Okay.
Per Loof: So we still have a lot of work to do there.
Omar Seumalott: Okay. So.
Per Loof: As we did in both the tantalum and our ceramic business, which is what gives us a lot of confidence that we will be able to complete them.
Omar Seumalott: Yes. I mean, 31% gross margin in ceramics; that is just amazing.
Per Loof: That is pretty good.
Omar Seumalott: Okay. My last question, your competitors, both Vishay and AVX, mentioned that they are basically leaving orders on the table because of a lack of available capacity and mainly human capacity. But they both mentioned that by the June quarter they expect to be at a full swing in terms of having enough capacity online. What would you say in your case, how would that relate to your case? And to further that AVX expects that if enough people are in place for this June quarter, they are expecting a 10% to 12% quarter-over-quarter revenue increase for that quarter. Obviously they did not get a 50% increase this quarter like you guys did but I just want to get a sense of how you are doing in terms of your capacity and getting those orders out?
Per Loof: If you take them business by business, we have our capacity utilization in ceramics is in the 60%, 62% currently, so we have a lot more capacity we can bring on if we think that is the right thing to do. But clearly we have also changed our direction of that business to be much more specialty focused. In the tantalum we are bringing more capacity online for stuff that, equipment that has been mothballed during this last 12 months. And we are bringing more people on board, both in MnO2 and in polymer to deal with the increase in demand. But I think comparatively the (inaudible) of course I can't speak for my friend John, but I would think that we probably have started that process sooner and we may have gotten our capacity utilized quicker than AVX. So maybe our ramp was a little sooner than theirs and you would see us continue to focus on the restructuring activities and bringing capacity online as the demand improves. But I think we have probably, we put another 500 people to work this quarter and we are continuing to bring more people on. But we may have, we are cautiously optimistic about the rebound in the overall economy, but I would like to strengthen, put strength on the word caution here. That we don't want to get ahead of ourselves in putting a lot of stuff online here and then we see some slight pullback in the economy and therefore we are not prepared for that. So we are watching the economic indicators a lot and of course making our decisions in accordance with what we can actually sense in the market.
Bill Lowe: Since our low point we have brought back over 1,000 employees so from that low point forward in March, starting in April, I guess. The last nine months it was over probably about 1,100 employees or so.
Per Loof: Which is like 13% of our workforce.
Bill Lowe: Yes, so it's significant from that standpoint. I think you see it in the, as Per mentioned, in our statistics and you know that over the last several quarters our rate of increase in revenue has been sometimes double some of our industry competitors.
Omar Seumalott: So if you feel like your capacity, your human capacity, is basically in place?
Per Loof: We feel that we have a lot of our human capacity in place. We are bringing more people on but maybe at a slower rate now than we did before just to make sure that we can read the tea leaves correctly here.
Omar Seumalott: Okay. What do you make of AVX move to Greenville as a headquarter?
Per Loof: I think that is interesting. I think they have a nice facility in Greenville and I think that they may like it being up there. They have quoted the fact that it's, they are closer to a bigger airport in Greenville than they were in Myrtle Beach. I really have no comments. We are happy to see them close by.
Omar Seumalott: Thank you, guys. Congratulations.
Bill Lowe: All right. Thanks, Omar.
Operator: (Operator instructions). Your next question comes from line of Bryan Reubenswith Mitsubishi Securities.
Bryan Reubens : Hi. Gentlemen. (inaudible).
Mitsubishi Securities: Hi. Gentlemen. (inaudible).
Bill Lowe: Yes (inaudible).
Bryan Reubens – Mitsubishi Securities: Good, good. See some good improvements going on in the quarter, congratulations. I am just looking at debt for you guys. Is there any capacity or intentions to start to lower that as we go on later in the year perhaps or is there any goals on that side of the business?
Bill Lowe: From a debt perspective there is, we do have on our bank facility of course, an amortization schedule. So what you are seeing in the short-term debt is what will be paid down in the next 12 months and that number will stay about the same on an annual basis, as one payment is paid another schedule rolls in. So it's going to stay about that level. But just assume that that is about the rate of debt reduction; it's a short-term amount.
Bryan Reubens – Mitsubishi Securities: Okay.
Bill Lowe: And we said on our November New York conference that we are mainly focused on continuing to focus on reduction of debt over the next 24, 36 months, etc. So we are focused on that, but for now I would look at it in the amortization schedule.
Bryan Reubens – Mitsubishi Securities: Okay, very good. And just, It was touched on with the prior questioner, but with this move to Mexico do you expect to see similar levels, I guess, of impairment type of charges going in the next few quarters? Is that something we can expect to see or.
Per Loof: Not impairment charges, maybe restructuring charges.
Bryan Reubens – Mitsubishi Securities: Restructuring, sorry.
Bill Lowe: Yes. Some scheduled [ph] restructuring for equipment moves from getting the money to, the space, to get the space for moving the equipment in to set up correctly infrastructure. You will see some of that.
Per Loof: You know all these moves, which are quite significant actually, are going to be moving into facilities that we already have. The reason we are able to do that is because we have been able to lean out waste in the facilities which currently, which previously were full and now we are getting those facilities cleared out for standard products that we need to move in and that is true for both Asia and China. And in particular in China we now have our newest facility which we call Suzhou B [ph], ready and to receive capability as well. So we have the facilities now in place and we can now start very organized pattern of moving things around. Of course at the same time, as I said before, we need to do this keeping in mind that we have got to make parts as we move the capability.
Bryan Reubens – Mitsubishi Securities: Okay. Great. Just a last question, you have talked about discussions with the NYSE about getting back on to the market there. Any progress on that side of things?
Per Loof: Well, we have got to get the stock price up to be able to do that. So we're clearly, we remain focused on improving our operations and of course gaining investor confidence and as a result of that being able to go back and list on a major exchange.
Bill Lowe: We did talk in November about a potential step process where we may go to the American Exchange, which only requires a $2 stock price, and then do a second step back to New York at some point.
Bryan Reubens – Mitsubishi Securities: Okay. Okay. Very good. Thanks, guys.
Bill Lowe: You are welcome.
Operator: There is no further audio questions at this time.
Bill Lowe: All right. If no further questions, I would like to thank you all for joining us this morning, and we thank you for the support of KEMET and to our customers that are and our investors and our people. Thank you very much for this quarter and we are hard working ensuring that we continuing improving KEMET. Have a good day.
Per Loof: Thank you.
Operator: Thank you for joining today's conference call. You may now disconnect your lines.